Operator: Hello, ladies and gentlemen and welcome to the Crown Crafts, Incorporated Investors Conference Call. Your host for today’s call is Mr. Randall Chestnut, Chairman, President and Chief Executive Officer. [Operator Instructions] Any reproduction of this call in whole or in part is not permitted without prior written authorization from Crown Crafts, Inc. As a reminder, this conference is being recorded today, August 14, 2019. And at this time, I would now like to turn the call over to Ms. Olivia Elliott, Vice President and CFO who will begin the call. Ms. Elliott, please go ahead.
Olivia Elliott: Thank you. Welcome to the Crown Crafts investor conference call for the first quarter of fiscal 2020. With me today is Randall Chestnut, the Company’s President and Chief Executive Officer.
Randall Chestnut: Good afternoon.
Olivia Elliott: A telephone replay of the call will be available one hour after the end of the call through 4:00 p.m. Central day light time on August 21, 2019. Also a web replay of the call will be available for 90 days and can be accessed by visiting our website at www.crowncrafts.com. Before we begin, I would like to remind listeners of the cautionary language regarding Forward-Looking Statements contained in the press release. That same language applies to comments made in today’s conference call. Also in regard to comments made in today’s conference call that are related to the Company’s recently announced dividend, its history of paying dividends and the annualized yield on the Company’s common stock. We remind listeners that the declaration of each dividend is at the discretion of the Company’s Board of Directors and the Company expressly disclaims any assurances as to the frequency and amount of any future dividend. I will now turn the call over to Randall.
Randall Chestnut: Olivia and [Anita] (Ph), thank you very much and welcome everyone to our first quarter FY 2020 investor conference call for the quarter that ended June 30 of 2019. Before the market open this morning we issued a press release of outlining of the quarter and I’m going to touch on those and Olivia will come back and add more to it before we open it up for questions at the end. For the quarter net sales were 15.942 million as opposed to 15.460 million in the same quarter of FY 2019 an increase of 482,000 or 3.1%. Net income was a 1.079 million as opposed to 264,000 in the same quarter last year or an increase of 815,000 or an increase of 309%. Diluted earnings per share were $0.11 a share as opposed to $0.03 in the same quarter last year. The gross profit in the current year quarter increase from 28.5% of net sales from 26.7% of net sales in the previous year quarter. Historically our first quarter has been our weakest quarter, this year are pleased that we had improvement in net sales as compared to the first quarter of last year. We are also very pleased with improvement in gross margin, net income and earnings per share. Current year net income was favorably impacted by $0.03 per diluted share due to a state income tax adjustment that Olivia will discuss in more detail a little later. During the quarter, we liquidated all remaining Babies R Us private label inventory that we have had since they filed for bankruptcy and liquidation. We are very pleased that we have been able to put this in the rearview mirror. The Company had a couple of years with the transition to naked crib and the loss of our second largest customer, which had a tremendous impact and [indiscernible]. We controlled our cost well of the storm and we came out on the other hand very healthy. Our staff did an amazing job getting through this very difficult period and we are pleased with the current results. We finished the quarter with a cash balance of $3.5 million and unused borrowing availability to $19.2 million. Our balance sheet remains very strong. Today in the announcement and the Company also announced that its Board of Directors declared a quarterly cash dividend on the Series A common stock of $.08 per share, which will be paid October 4, 2019 to shareholders of record at the close of business on September 13, 2019. This represents an annualized yield of 6.5% based on yesterday's closing of our stock price. We were very pleased to continue to reward our shareholders with cash dividends. That concludes my remarks and I will give it back to Olivia to add any color.
Olivia Elliott: Thank you. I’m only going to give financial highlights. For more detail analysis, please refer to the Company’s Form 10-K filed with the Securities and Exchange Commission this morning. Net sales were $15.9 million for the first quarter of fiscal 2020, compared with $15.9 million for the first quarter of the prior year an increase of $482,000 or 3.1%. The increase in sales is primarily due to higher overall replenishment orders with sales of bibs, toys and disposable increasing by 1.3 million and sales of bedding and blankets decreasing by $880,000. Gross profit increased by $423,000 an increase from 26.7% of net sales in the prior year to 28.5% of net sales for the current year. The increase in amount is primarily due to the higher sales in the current year quarter. Marketing and administrative expenses decreased in amount by $233,000 a decrease from 23.8% of net sales in the prior year to 21.7% of net sales this year. The prior year quarter included 210,000 in expenses to train further Sassy inventory from Grand Rapids, Michigan to the Company’s distribution facility in Compton, California. The current year provision for income taxes is based upon an estimated annual effective tax rate from continuing operations of 24.3% compared to 24% in the prior year quarter. During the current year quarter the Company's reversed reserves for unrecognized tax liability that it had previously reported for fiscal years 2011 through 2013, which resulted in a recognition of a discreet income tax benefit of 232,000. In addition during both the current and prior year quarters the Company recorded discrete entries associated with excess tax benefit or charges arising from divesting of non vested stock during the period and also recorded reserves for unrecognized tax liability. The effective tax rate from continuing operations combined with the effect of these discrete income tax charges and benefit resulted in an overall provision for income taxes of 5% for the current year and 23.3% for the prior year. Net income for the first quarter of fiscal 2020 was $1.1 million or $0.11 per diluted share which included $0.03 associated with the reversal of the discrete income tax benefit and the associated interest in penalty. Net income for the first quarter of fiscal 2019 was $264,000 million or $0.03 per diluted share. And I will now give it back to Randall.
Randall Chestnut: Olivia, thank you very much. Anita if you come back home, you can open it up now for Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes from Josh Peters with Zenith Sterling Advisers. Please go ahead.
Josh Peters: Hello, thank you for taking my call and congratulations on the rising increase in profit share year-over-year.
Randall Chestnut: Thanks Josh. How are you?
Olivia Elliott: How are you?
Josh Peters: Yes, good again. Did want to dig in just a little bit to the differences in the sales trends where the bib and toy business up about 19% year-over-year, but bedding and blankets down 9.5% can you just add a little color what is driving the growth side and the continued decline on bedding side.
Randall Chestnut: I mean, Josh part of it is new placements and fixture fill and we shipped some of that in the quarter and that is really the majority of it. There is nothing spectacular that standout in the quarter that calls us to have an increase of any appreciable degree except for just regular repeat business and some placements.
Josh Peters: Okay. And the decline on the bedding side is that function of make it current still taking a toll.
Randall Chestnut: It is a combination of that and it is also a combination of one of our customers in the fourth quarter of last year took advantage and stocked up on quite a bit of inventory that carried over into the first quarter, which reduced the reorders in the first quarter. That probably had more of an effect on [Mojo] (Ph) the crib and bedding business than anything else.
Josh Peters: Okay. So it sounds like just normal variability but still solid progress on profitability. One other question and then I will let somebody else get on the line. It is great to see that that you paid off all debt in your back end on a positive cash position. But I notice that your receivable balances has come way down, it is that what you think of as a normal level going forward from here or can we expect maybe the net cash position might run back down in the next couple of quarters?
Randall Chestnut: Josh that would be a forward-looking statement to predict where our cash will be, but I can tell you that yes it is going to bounce in and out of the revolver for the remainder of the year, but to no appreciable degree, no - worry about it, okay.
Josh Peters: Okay. thank you very much and again congratulations on a solid quarter.
Randall Chestnut: Thank you very much, have a good day.
Olivia Elliott: Thank you very much.
Operator: There appears to be no further questions. I would like to turn the conference back over to Randall Chestnut for any closing remarks.
Randall Chestnut: Okay and Anita thank you very much and that concludes - well we got one more on that. Anita.
Operator: Next question comes from Ralph Marash with First Manhattan. Please go ahead.
Ralph Marash: Good afternoon. Thanks for letting me sneak in at the end there. Just two quick, the early orders, the fourth quarter order was that an attempt to beat tariffs was that the reason.
Randall Chestnut: Not really, it was a customers that - if I gave you the name obviously you would recognize him very well, but it was a customers that took advantage of just stocking up on some inventory at year end in and the fourth quarter our fourth quarter, which ended in March and there was nothing spectacular about it except that when they do that then it obviously has a negative effect on the following quarter. There is nothing unusual or spectacular about it. No I don’t think it related to the tariffs and all.
Ralph Marash: Okay so then I will just expand the tariff question, are you seeing any kind of issues regarding tariffs either from customer concerns or in your own order pattern with your suppliers.
Randall Chestnut: Well to this point we have only had two of our categories of our sizable degree that were affected, okay. and that was in round two, one in round two and one in round three. The round four that was announced to be effective September the first and now some of that has been postponed to December of 2019 is - the 10% is going to get most of the balance of our product okay. And our philosophy has been and we have repeated it over and over again is we are going to pass it on, we are going to raise the prices and that we have done and we have had some push back, but by enlarge most people understand and they are accepting it and passing it on and we are facing it through meaning if we have got inventory in the warehouse at the pre tariff rates we will work through that before we put the new tariffs in. We will work with the retailer in that form and fashion. But we have had a little bit of pushback, but by and large, most people have accepted it, but we have taken a pretty firm stand that we are going to pass it on.
Ralph Marash: Thank you and thanks for answering the other questions.
Randall Chestnut: Thank you very much. Thanks for being on.
Olivia Elliott: Thank you.
Operator: The next question comes from Fred Foulkes with Boston University. Please go ahead.
Fred Foulkes: Hi, it is a great quarter; you really answered my questions on tariffs. So I was wondering with some of your larger customers you are still been able to - they are willing to accept your passing on additional cost.
Randall Chestnut: So far, Fred they have okay, we had one item and it was an item that was sitting on the bubble anyway that may or may not have been continued and one sizable retailer just said okay, it is not performing that well let's discontinue it. That has been the only cash we have had where we have had just out and out resistance. We have had some people say “oh you got to give a six months notice to pass through a price increase” and our answer to that is we didn’t get six months notice on the tariffs so sorry. We will work with you on the existing inventory, but we are passing it. And a lot of major retailers in particular one Walmart has been very vocal that they are going to pass it on. And so its inflationary and there is no question about it. And we are taken a very firm stand and we are passing it on. Our margins as you see are healthy, but they are not healthy enough to eat those kind of increases.
Fred Foulkes: Alright, thank you.
Randall Chestnut: You are probably welcome. Thank you.
Olivia Elliott: Thank you.
Operator: The next question comes from [Denis] (Ph) [indiscernible]. Please go ahead.
Unidentified Analyst: Yes, good afternoon Randall and Olivia. Just a quick one for me. In previous calls you have actually called out the sales contributions from Sassy and Carousel, is that something you are willing to do on a continued basis?
Olivia Elliott: We didn’t do that. The reason we had been doing that the last couple of years because it was primary differences between year-over-year, because you had it through a partial year in one year and then full year in the other so it caused a major swing. So we really didn’t call those out specifically this year.
Unidentified Analyst: Okay just out of curiosity than where we saw bedding down on a year-over-year basis any commentary on how Carousel performed on a year-over-year basis, was it up, flat, down?
Randall Chestnut: Denis, it was down a little, okay. It basically is in for bedding and it was too affected by the affects of a netted quail. So it was down slightly, yes.
Unidentified Analyst: Got it. Excellent, thank you. That is all for me, thanks a lot.
Olivia Elliott: Thank you.
Randall Chestnut: Welcome.
Operator: This concludes our question-and-answer session. I would now like to turn the conference over back to Randall Chestnut for any closing remarks.
Randall Chestnut: Okay thank you Anita, just the last closing remarks, as we begin another year we are very pleased and excited and optimistic about the future and I will emphasize your company is very solid. And I would like to repeat that your company is very solid. I would like to thank all our employees, suppliers, customers and shareholders for their continued support and we will speak to you again in three months or so. Thank you very much. Have a good day. Thank you.
Operator: This conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.